Operator: Hello. And welcome to the Royal Vopak Q3 2024 update. Throughout the call, all participants will be in listen-only mode and afterward there will be a question-and-answer session. This call is being recorded. I am pleased to present Fatjona Topciu, Head of Investor Relations. Please go ahead with your meeting.
Fatjona Topciu: Good morning, everyone, and welcome to our third quarter 2024 results call. My name is Fatjona Topciu, Head of IR. Today, our CEO, Dick Richelle, and CFO, Michiel Gilsing, will guide you through our latest results. We will refer to the Q3 2024 analyst presentation, which you can follow on screen and download from our website. After the presentation, we will have the opportunity for the Q&A. A replay of the webcast will be made available on our website as well. Before we start, I would like to refer to the disclaimer content of the forward-looking statement, which you are familiar with. I would like to remind you that we may make forward-looking statements during the presentation, which involve certain risks and uncertainties. Accordingly, this is applicable to the entire call, including the answers provided to the question during the Q&A. And with that, I would like to hand over to Dick.
Dick Richelle: Thank you very much, Fatjona. And a very good morning to all of you joining us in the call today. Let's move to the key highlights for this quarter. The need for our services remained strong across the portfolio and that resulted in a proportional occupancy rate of 92%. We continue to serve our customers very well. At the same time, we reported improved financial performance, growing our proportional EBITDA when adjusting for divestments with 11% year-on-year to €894 million year-to-date. Also, our operating cash return improved year-on-year to 16.2%. That was driven by strong performance of the business and contributions from growth projects, as well as lower capital employed due to the divestments of last year. Our joint venture in India has undertaken a primary equity issue of 3.4% for an amount of €88 million and continues to explore options to fund growth. With the year progressing, we are confident to update our outlook for proportional EBITDA and consolidated EBITDA. And Michiel will explain in more detail later. Today, we announced an expansion in our joint venture Aegis Vopak in India. And we will build 94,000 cubic meters of storage capacity for liquids and strengthen our leading position in the Port of Kandla. In China, we commissioned a new Greenfield Industrial Terminal, and that is marking our seventh terminal in the country. More than half a million cubic meters of industrial connected capacity became fully operational. The Huizhou Terminal, as it's called, represents a significant milestone as the 18th industrial terminal in our global portfolio. And we continue strong execution in our strategy to grow our footprint in industrial and gas terminals. Let's move to accelerate, because we are taking next steps in our Vopak Energy Park Antwerp related to redeveloping of that strategic plot of land. We announced that we are supporting Vioneo with the storage of green methanol. Vioneo is a company founded by A.P. Moller and that aims to develop a facility for the production of fossil free plastics. We will provide the land, storage capacity and handling services while Vioneo is planning to invest in the production plant. And most recently, we launched a market consultation to evaluate the market interest to store ammonia at this site in Antwerp. Also, with regards to infrastructure for CO2, we're making progress. Because we signed the memorandum of understanding in Australia to develop common user infrastructure in the north of the country. We recently also inaugurated Vopak offices in Saudi Arabia and in Japan, positioning ourselves closer to important regions and developments that will further support our strategic priorities. We are well positioned to accelerate towards new energies and sustainable feedstocks, and we are pursuing market opportunities. Now let's have a closer look at our financial performance and how markets have developed in the third quarter. The impact of divesting our chemical distributions terminal in Rotterdam and in Savannah in 2023 was €63 million year-to-date. This is fully offset by contributions from growth. These contributions are to a large extent driven by our EemsEnergyTerminal here in the Netherlands. Currently, we are dealing with some temporary technical challenges that have some financial implications, which we are confident that it can be resolved during 2025. As we continue to work hard with all stakeholders to implement a solution, the terminal remains fully operational. In the gas markets, we observe a robust demand for our services. This demand is evident in the LPG sector, particularly in India, but also in the energy sector, for example, in Colombia. Chemical markets show a mixed bag with solid performance in the US, while Asia-Middle East markets remain under pressure. Despite these developments, the need for infrastructure remains healthy. Energy markets, which we support with oil terminals, remain strong, leading to high occupancies in our main hub terminals. And despite some market challenges in Mexico, demand in the oil distribution terminals also remains firm. So partly offsetting for increased expenses and negative currency effects, we improved our performance by €92 million, of which €30 million by improving performance of our current network. Now let's move to India. Because we announced yesterday, we reached an agreement for a primary equity issue to investors for an amount of €88 million for 3.4% of share capital. We're pleased to welcome a new investor on board. And the capital raised will be supporting, among others, our growth aspirations in India. The joint venture with Aegis, which was successfully completed in June 2022, is the largest independent tank storage operator in India. Currently, the network consists of 1.5 million cubic meters and multiple growth projects are ongoing in six strategically located ports across the country. The joint venture continues to explore options to fund growth. through potential fund raise. Now let's move to the next strategic pillar of our strategy, growing our base in industrial and gas terminals. This quarter, we commissioned a greenfield terminal in a new location, Huizhou in China. With this terminal, we support a world-scale flexible feed steam cracker of our customer ExxonMobil. This terminal represents a significant milestone as the 18th industrial terminal in our global portfolio and the seventh in China. We rationalized our footprint in China over the last years, focusing more on industrial and gas capacity and delivering stable results. Over the last decade, we've been able to increase our global industrial capacity by 70% to 9 million cubic meters in, as we said, 18 industrial clusters globally. A strong track record in our strategic priority to grow in gas and industrial footprint as well as successfully delivering projects and growth in India. In recent years, we've taken significant steps to shift our portfolio towards assets that yield higher quality earnings. The exposure to commodity markets, particularly in oil and chemicals, has been reduced over time. The proportion of these terminals in our portfolio capital allocation has decreased from roughly 90% a decade ago to around 50% today. Over €500 million from divestment proceeds have been reinvested primarily in industrial and gas terminals. This is also reflected in our proportional EBITDA per terminal type, which is more and more diversified over the last decade, especially increasing the share of industrial and gas terminals. These actions have ultimately resulted in an improved trend in the operating cash return. Now looking at our third strategic pillar, to accelerate towards infrastructure for new energies and sustainable feedstocks. We progressed in redeveloping Vopak Energy Park Antwerp. The former refinery and existing tanks are being demolished and the land is further prepared for new developments. We are aiming to develop storage infrastructure for green methanol in order to support the announced facility for the production of fossil-free plastics. Recently, we also announced a market consultation to evaluate interest in the development of infrastructure for ammonia, great developments which leverage the strategic plot of land in the Port of Antwerp on the one hand and our expertise in storing and handling these products on the other hand. And these developments fit well in our strategy to accelerate towards new energies and sustainable feedstocks. So to summarize, we continued to deliver another strong quarter with improved financial results and stable high occupancy rate. Our joint venture AVTL reached agreement for primary equity issue and we continue to explore options to fund further growth in India. And we're updating our full year proportional and consolidated EBITDA. Our investment in industrial and gas terminals has progressed significantly, with €900 million already invested towards our ambition to invest €1 billion. We drive progress by accelerating towards new energies and sustainable feedstocks. With that, I want to hand it over to Michiel who will give you more insights on the financial aspects year-to-date and for the third quarter.
Michiel Gilsing : Thank you, Dick. And also from my side, a good morning to everyone in the call. First, let me take you through our financial results so far this year in a bit more detail. I will first give some more insight in our financial performance year-to-date and for the third quarter 2024. Then discuss our strong and long-term cashflow generation capabilities as well as our long-term fundamentals including the updated full year 2024 outlook. To start with the financial performance for the first nine months of the year compared to the same period last year. Proportional EBITDA grew with €85 million when adjusted for divestments, an 11% increase compared to last year. The increase was driven by contributions from growth projects and good business performance. On a consolidated basis, EBITDA increased by €49 million or 7% when adjusted for divestments. This was driven by favorable market demand and some one-off items of €17 million in the second quarter of this year. Solid demand for our business is reflected in an increase of 1 percentage point in proportional occupancy compared to last year. Looking at the proportional operating cash return, we achieved an OCR of 16.2%, a 1.8 percentage point increase compared to same period last year. This was driven by increased proportional free cash flow and by a lower average capital employed due to the divestments we made in 2023. Moving from year-to-date numbers to a quarter-on-quarter comparison. If we compare the third quarter to the second quarter of this year, we see stable results. Proportional occupancy remained at a stable level of 92%, mainly driven by the energy markets. Also revenues remain stable. Favorable energy markets are offsetting some pressure in the chemical markets. Operating expenses came slightly down, driven by positive currency effects and lower order cost in the third quarter. When adjusting for a €7 million positive one-off in Q2, proportional EBITDA remains flat. These stable financial results, quarter over quarter, highlight the strength of our well-diversified portfolio in terms of products we store, geographies we are active in and the role of our infrastructure. A closer look at the business units performance. An ongoing pattern of improvement can be seen across the regions. The negative divestment impact of €63 million was fully offset by contributions from growth projects year-to-date. Strong performance in the Asia and Middle East and Netherlands business units was driven by good performance of our oil and gas terminals. In the USA and Canada, chemical and industrial terminals performed well. The strong performance of the business units was partly offset by negative currency effects. Overall, there is a strong and stable demand for our services, mainly driven by growing energy needs and ongoing adjustments in global trade patterns. This slide shows more detail on the proportional EBITDA of the different terminal types we operate. Gas terminals showed firm throughput levels and the growth year-to-date is mainly driven by our added EemsEnergyTerminal in the Netherlands. Industrial terminals backed by long term, often 20 plus year contracts, had solid throughput levels and we had some contribution from the newly commissioned capacity in China. Chemical distribution terminals, despite some weaker chemical markets in Asia, showed a stable performance. Oil terminals, both hubs as well as fuel distribution terminals, showed solid performance. This is driven by a growing energy demand and rebalancing trade flows around the world. All in all, this has led to an increased proportional EBITDA, which was 11% higher than the same period last year when adjusted for divestment. Then moving on to the cash flow generation of the company. Our cash flow generation continued to be strong, resulting in €736 million of gross cash flows generated by the group companies and increased dividend upstreaming from joint ventures. Compared to the same period last year, gross cash flows increased by 8%. After tax payments, derivatives impact and other cash flow from investing and financing activities, we had €578 million cash flow from operations. This is the available cash flow that we can allocate towards operating CapEx, which is our license to operate, growth CapEx and shareholder returns, all in line with our capital allocation policy. Operating CapEx and growth CapEx amounted to €392 million year-to-date. With regards to shareholder distribution, the dividend paid earlier this year and the share buyback program, which is almost completed, amounted to almost €500 million or 67% of growth cash flows. Our top priority remains on strong cash flow generation to support operational capital expenditure, pursue growth opportunities and deliver value to our shareholders. As Dick already mentioned, we are happy to have a new investor in our AVTL joint venture. To give you some details on the financials, the transaction represents a shareholding of 3.4% in AVTL for €88 million. One of the lead investors in this transaction is 360 ONE, a leading wealth and asset management firm in India. Our share therefore diluted from 49% to 47.3%. The expected exceptional gain for Vopak on the transaction will be reported once all the conditions are fulfilled. I would like to remind everyone that, for our joint venture, we apply the equity method in valuing them. So Vopak pick up its shares in the net profits and equity component attributable to its shareholding. For the avoidance of doubt, Vopak does not fair value its stake in AVTL, so it does not remeasure its joint venture investment based on the market valuation. We are excited about further growing our network with the newly raised funding in India. The strong focus on cash flow is well reflected on our per share metrics, as can be seen on this slide. We increased earnings per share by more than 30% compared to the year-to-date numbers over the last years. Also, proportional free operating cash flow per share improved to €5.33 per share year-to-date, a significant improvement over the last years. The share buyback program, which is almost completed, will further support the value creation per share. Portfolio transformation, prioritization, cash flow and debt reduction are generating substantial value. As Dick mentioned already, we're updating our full year 2024 outlook and I want to give some more detail on the drivers behind this. We see strong market indicators and favorable demand for our storage infrastructure in general. Next to a solid business performance and a continued focus on improving our results. And thirdly, growth projects will contribute to our results in the last quarter. However, as mentioned by Dick, due to some temporary technical challenges at EemsEnergyTerminal, we foresee some financial implications in the near term. Our strong performance and strategy execution coupled with favorable market conditions positions us well to update the bottom of the range of our full year 2024 outlook. We increased the proportional EBITDA outlook to a range of €1160 million to €1180 million for the full year. And the consolidated EBITDA range is increased to €930 million to €950 million for the full year 2024. Looking at the overall outlook, all other elements remain unchanged. Consolidated growth CapEx is expected to be around €350 million and consolidated operating CapEx is still expected to be around €230 million. On the longer term, a proportional operating cash return to be above 12%, which we believe is a healthy return for our type of business in both favorable and unfavorable markets. Our commitment to invest €1 billion in industrial and gas terminals and €1 billion to accelerate towards new energies and sustainable feedstocks towards 2030 remains unchanged. We are committed to capture growth opportunities as we continue to see attractive projects beyond the €1 billion ambition. Our leverage ratio remains 2.5 to 3 times as a management range and our dividend policy remains unchanged. Before I would like to close off, I want to highlight our upcoming Capital Markets Day on the 13th of March next year. During that day, we will provide an update on the company's strategy, financial targets and overall business developments. Please reach out to the Investor Relations team for further details and registration. I'm more than happy to meet you there. Bringing it all together in this slide, we delivered on our financial performance. Despite divestments, proportional EBITDA grew year-on-year. Operating cash return increased to 16.2% at the end of the last 9 months. We raised new capital to support our growth ambitions in India. And with our well diversified portfolio in terms of products we store and the different geographies we operate, we are able to create connections. And we are driving progress by our capabilities to capture new opportunities to grow in industrial and gas terminals and accelerate towards new energies and sustainable feedstocks. These factors combined create value for our shareholders. This concludes my remarks in the presentation and I would like to hand it back to Dick for the Q&A.
Dick Richelle: Thank you, Michiel. And with that, I'd like to ask the operator to please open the line for Q&A.
Operator: [Operator Instructions]. We will now take our first question from David Kerstens of Jefferies.
David Kerstens: I've got two. Yeah, maybe first on the value creation in India. I think in 2022, your initial stake of €225 million in the joint venture was valued at 11 times EBITDA. Now you sell 3% for €88 million. I suspect that implies a multiple of almost 50 times EBITDA. What drives that multiple accretion and value creation in India? And would you be willing to sell at such a high multiple in the upcoming IPO? And maybe related to that, the revaluation of your stake, I think the invested capital nowadays is around €350 million, the market value €1.2 billion. I heard Michiel say you're not using market value for the revaluation, but how does it work and how do you then derive the capital gain? And maybe last, but not least, the EemsEnergyTerminal, what are exactly the operational challenges and has there already been an impact in the first nine months? And what is the financial impact you are anticipating in the fourth quarter and in 2025, please?
Michiel Gilsing: David, let me take the first question on the value creation and maybe also some of it related to the accounting principles around the joint venture and then Dick can take the second question on the EemsEnergyTerminal. Yeah, there is indeed quite – we bought it at around 11 times EBITDA, the EBITDA at that time. In the meantime, we have approved eight investment proposals in India, so we're expanding quite heavily in the country and we see an opportunity indeed to go for an IPO because the multiples in general in the Indian stock exchange are significantly higher than anywhere around the world. That has also to do with the growth prospects of India, similar to what we see in the joint venture. So that's an opportunity for us to really go for that IPO and the private placement is a reflection of that valuation. So the 3.4% indeed at €88 million values the company at just above €2.6 billion. We're in the process of putting the draft prospectus together. Timing is still unknown, but our ambition is to really use the market for funding our growth. So attract capital via this private placement, but also via the IPO to grow the business even further. We still see very good opportunities in the chemical space, in the space of gas, but also new energies going forward. If and when we do an IPO, if that happens, then the scenario is that 25% additional capital will be attracted in the first three years of the IPO. So that is a requirement of the Indian stock exchange, but it will be a primary issue. And we would obviously like to continue the journey in India to further grow the company. And we will definitely use the stock market as one of the sources for funding. Then in terms of accounting, yes, indeed, we will not revalue our existing stake because we use the equity methods. We are not using the fair value, so that's one principle. And we will only show an exceptional gain once, let's say, all the conditions are fulfilled on this private placement. So that will lead to an exceptional gain, and it may also lead to another exceptional gain once we do a full IPO, as I just explained. So that's the principle. So we will recognize those gains once, let's say, either the conditions on the private placements are being done. or secondly, when an IPO is really in the market. But we will not revalue the rest of our stake in India.
David Kerstens: And can I ask maybe one follow-up? You mentioned the eight investment proposals since 2022. How has that contributed to the EBITDA of the joint venture over that period?
Michiel Gilsing: A lot is still under construction. So it will add to the EBITDA in the coming years. So that is a lot of new built infrastructure which we have approved. So we're presently – well, we just announced the Kandla one, but we're also building an LPG terminal, for example, in Mangalore. So that will be added. And obviously those growth projects which are effectively already a work in progress are also taken into account in the valuation. So maybe today's EBITDA is still relatively modest if you compare it to the valuation, but the EBITDA will significantly grow in the coming years and we hope that it will continue to further grow because we have a business plan in place with quite some growth opportunities in India.
Dick Richelle: To your question on EemsEnergy, maybe a few comments. First, the terminal was built in a relative short period of time. It is functioning technically and from a safety perspective in the way an LNG import facility should function. The challenge, the technical or operational challenge that we are referring to is related to the fact that the terminal does not always perform in line and according to the expectations that our customers have. And as a result of that, there is moments that our customers are suffering from the impact and that leads to a financial implication for us because it basically means that our costs are going up. That is actually what we are referring to. It's limited to a temporary situation. So we expect that, with a technical solution, we are able to solve this issue, but that won't be done in a week and, therefore, we say that with the priority that we are giving to this, we expect this to be solved in the course of 2025. Now then to your financial question, the financial impact, relatively limited impact year-to-date, but a little bit towards the end of Q3 and the expectation for Q4 is not quantified at the moment because we don't know exactly as we still are discussing with some of the customers what the actual cost impact will be. And therefore, we're not disclosing it. But if you look at the outlook, we've taken into consideration also some impact from EemsEnergy in Q4. So I think that's probably the best way to put it.
Operator: And we will now take our next question from Thijs Berkelder of ABN AMRO.
Thijs Berkelder: Congrats with the Q3 results. Following question on your statement on EemsEnergyTerminal because it reads more harsh than it probably really is. Can we only expect OpEx costs or can we also expect CapEx costs to come in? And are we talking about a single million digit euros or double digit numbers? Second question on, can you remind us on the invested capital used for the new Chinese industrial terminal which you opened and can you confirm that this terminal in 2025 should deliver your, let's say, 12-plus-percent return level? And certainly, can you give us an update on how far you are with the LNG import terminal in South Africa?
Dick Richelle: Maybe first on the question on Eems, impact for 2024 is expected to be purely OpEx. And once we start to commit for the technical solution, adjustment, that will cost a little bit of CapEx. The timeline about when that CapEx is going to be expensed and committed is still a bit more difficult to predict, but I would expect the majority of the spend would be in 2025. And that's not a super material CapEx for Eems. I think that's one. I think, two, your question, what is the impact? Can we be more specific? And obviously, we were expecting the questions like that. As I said, it's a bit hard for us to assess it and to estimate it now for Q4. But I would say one thing, it's not a material amount. I would say it's probably towards the high end of single digit millions, if I had to put a number to it. But as I said, we're still assessing the OpEx impact. There's an ongoing discussion also with customers about what the actual impact is. So, therefore, I think that's the best way to probably give you some guidance on that. I think to your third question, and I'll leave the China question for Michiel to come back on, the situation for the development in South Africa, as you know, we've been selected in the process to work on the Richards Bay LNG import facility. We've reached agreement with the authorities on the draft agreement for the concession for long term and we are now in the process of going to the next phase of, let's say, market sounding. So, yes, we've done the first round of market sounding and now we're narrowing it down with more specific questions towards market interest. I think the complexity for this project sits in executing a project of this size in a country like South Africa. Generally speaking, the ability or the market interest to develop an LNG import facility is quite robust and quite healthy. I think it's up to us to bring those different elements together and happy to update you in follow-up calls. But for now, we remain quite optimistic and positive about the prospects of a terminal. Not easy, but a promising opportunity for us.
Michiel Gilsing: On the China capital, with the overall project, it's around €200 million. That is the overall CapEx of the project. Our share of that, and you would expect around the return level we have set ourselves in terms of OCR.
Thijs Berkelder: A short follow-up on EemsEnergy. You also there already did market sounding or has that been halted?
Dick Richelle: No, no, that has been done. So what we did, Thijs, is we went out to the market. We basically asked for interest in potential extension of the LNG activities, but also obviously the transition of that facility and location to the new energy space and that's mainly on hydrogen and the carriers and this ammonia. That process has come to an end. We decided not yet to communicate actively – or not actively, simply not to communicate publicly about the outcome of the open season as we are still digesting the results. But indeed, the market sounding has been done.
Thijs Berkelder: You are positive on the market sounding?
Dick Richelle: Yeah. Quite okay. Yeah.
Thijs Berkelder: That means that you have interest for, let's say, 10, 15 year contracts.
Dick Richelle: I wouldn't go too deep into it. I think there is an opportunity – again, if you look at it – from a market interest point of view, there's definitely an opportunity to continue. I think it's up to us, together with how we need to sit to look at what it really means in detail and to find out what the best course of action is to take the terminal after the initial five-year period to the next phase. And I think we have to do that taking into account the number of stakeholders that are relevant to take such a decision. But purely from a market interest point of view, I think there's quite some input that gives us at least an idea of where the direction can be. I hope that's a little bit more color.
Operator: And we will now move on to our next question from Jeremy Kincaid of Van Lanschot Kempen.
Jeremy Kincaid: My first line of questioning is just going to be on AVTL. Firstly, you say there's 1.5 million cubic meters. Does this include everything that's completed and under construction, or is this just everything that has been completed. Secondly, with this 94,000 cubic meters at Kandla that need to come into the mix, I see you're contributing €9 million for that project. Will that change your equity ownership in the AVTL JV? And then just finally, you obviously talked to the potential IPO and the likelihood of a primary raise, but do you think that you may offer some shares in a secondary offering as well? And if so, could you provide some color as to what the ideal level of ownership in the AVTL vehicle might be for you in the long term?
Dick Richelle: I'll leave the third question to Michiel, but maybe very quickly on your first two, Jeremy, 1.5 million cubic meters is what we currently have in operation. So that does not include projects that are under construction. That's one. I think your second one, 94,000 cubic meters in Kandla doesn't change anything in our equity ownership of AVTL. So we do it as part of the AVTL joint venture. And then Michiel will take the third one.
Michiel Gilsing: On the secondary issue, I think that's too early to tell. First, our focus was on landing this private placement as a precursor for a potential IPO. Then the IPO is a primary issue, 25% within a three year period. But then we haven't concluded on any secondary issue because the focus is really on the primary issue. We still see a lot of growth opportunities. In India. As I said, well, already a lot of FIDs have been taken, but still a lot of infrastructure is required in this growing economy. Yeah, any decision around that is not even considered at this moment in time.
Jeremy Kincaid: Just one final follow-up question, if I may. Could you provide some color on what you're thinking and maybe also what your customers think around what might happen under a Trump scenario versus a Harris scenario in terms of activity levels or demand or investment, etc.?
Dick Richelle: No particular comments, I would say, Jeremy. I think our customers are not very specific where they sit on potential implications. I think plenty of our customers, as is the same with the way we look at it, look at the business in the long term. And what I hear from many of them is that they should be able to work successfully in applying their strategy, whether there's a Trump win or whether there's a Harris win. Yes, there may be temporary impact, but in the long term of where markets are trending towards, I think people are making their strategies based on their long-term views rather than who sits for the next four years in the White House.
Operator: We will now take our next question from Quirijn Mulder of ING.
Quirijn Mulder: My questions are on Antwerp and on AVTL. On Antwerp, my question is, you have plans for an ammonia plant and you're looking for customers. Is there anything to say about, do you have already sounded interest in that ammonia plant, or is that only in the initial phase there? And my second question is also on clients. With regard to AVTL, you have to, let me say, expanded your – or you are expanding your net capacity there in the AVTL. First of all, I think that most of this expansion was already announced by Aegis Logistics in 2022. So I'm interested whether there have been additional capacity added to it and whether this capacity is already being constructed – that's fine – but we are looking for customers. Are there long-term contracts already signed with customers there?
Dick Richelle: Maybe on Antwerp and the ammonia, yes, we've seen various parties that are interested in developing ammonia infrastructure on the land in Antwerp and actually to make sure that we have a very precise description of the needs of the various parties and what they would like to do and what they are willing to commit for. That's one of the reasons that we opened up the process, so to say, and went for this market consultation. So it's much more to make sure that we have a good understanding of what exactly people are interested in rather than to open it up just to make sure that we create a little bit of interest if that's the right way to put it. So it's actually a positive development because there's definitely some momentum around ammonia infrastructure in Antwerp. So, therefore, we're happy that we have this plot of land. As you can see in the picture, it looks completely different now from when we bought it. It's virgin plot of land that is available to big developments in the Port of Antwerp. So I think that's one. I think when you get to AVTL and the 94,000 cubes in Kandla, this was not announced earlier. So, yes, over the past three years, since we are with Aegis, there's multiple expansions that we've done in Kandla over the past period. This is a new one. It's being constructed, as we speak. And Kandla is a big market where we want to make sure that we maintain our market share. And the way you probably have to look at it is it's a sizable storage market where there's a lot of different sites in Kandla where the one that has ability to have access to plenty of those sites has also a very good opportunity to capture a lot of that market because simply you have capacity available for almost any need that a customer can bring in. And that's a bit the dynamic in that market. And with this additional 94,000 cubic meters, the way the market in Kandla works, it's not that people sign up for long-term contracts, but if you continue to grow with increased flows that are going to Kandla and adjust your capacity for it, we're very comfortable that we continue to see a very promising and profitable development in Kandla for chemicals, for vegetable oils, for all kinds of commodities that the country badly needs. So we're positive on that one.
Quirijn Mulder: But I think your AVTL was mainly aimed at the LPG business, the joint venture, because Aegis Logistics has its own chemical terminals.
Dick Richelle: No, Aegis Logistics doesn't have own chemical terminals. The chemical terminals that Aegis Logistics has are part of AVTL. So if you look at the total of six ports, the majority of the capital invested, and also from a results contribution, the LPG part of the infrastructure is very important and it's pretty dominant, if you like, but there's still a number of smaller chemical distribution facilities that are highly attractive for us and Kandla – next to LPG in Kandla – also has a few chemical/vegetable type terminals and we continue to invest in those to strengthen our position over there.
Michiel Gilsing: And maybe it's good to add here that they still own the Mumbai terminal. That's still in their portfolio. So that is Aegis owned. All the rest is AVTL owned. The IPO is – if it goes ahead, it will include all the activities in India except the Haldia Terminal. Because in the Haldia Terminal, we have three shareholders, Itochu and ourselves for 25% and Aegis for 50%, but that's not part of a potential IPO.
Quirijn Mulder: To come back on Antwerp one, so let me say, if I compare it with Houston Ship Channel, that has limited ideas about not only a tank terminal for ammonia, but also for production plant, let me say, to split the H2 and ammonia. Is that also the idea for Antwerp or is that too early to ask?
Dick Richelle: No, it's probably not early. Well, you can ask, obviously, whatever you want, but that is also, I think, the part of why we do the market sounding, to make sure that we really understand what it is that people have in mind. And yes, it is storage of ammonia, including potentially also cracking, as they call it, the cracking from ammonia back to hydrogen. And the question is also to find out how much interest there is in that second piece. If you compare that to Houston, that's where we are producing. So there's a potential production plant for ammonia production that then would be available for potential export. And there, the idea would be to co-host, or to host it at least at the plot of land that we have. And that would be for Antwerp. If people say, yes, we would like to go for cracking, then that would be – I mean, the Antwerp site is perfectly fit for that. We have the space, and it's very nice to have that next to the existing infrastructure that we would then hope to be building.
Operator: And we will now take our last question, a follow up from Thijs of ABN AMRO.
Thijs Berkelder: We didn't touch on 2025. Only thing I read on 2025 is a negative on the EemsEnergyTerminal, but looking at Vopak year-to-date, excluding divestments, your proportional EBITDA is up 11%, your consolidated EBITDA 7%, average occupancy is 92%, so well above the 90%. So any reason why 2025 occupancy would turn lower than in 2024? And can you give any insight into your 2025 outlook? The gross terminals come in. So inflation is still 3% to 4%. So, your contract price inflation will be there. So can you give some kind of a statement on what you expect for 2025 except for the negative on EemsEnergy?
Dick Richelle: We will do so in the first quarter, Thijs, in 2025 and I see your logic and the way you're reasoning through it. That's also the process that we are going through and we want to make sure we give proper guidance to the market at the start of the year and so we will. I think there's definitely some contribution from the growth investments. And I think by and large, as we see markets, I think it's as we explained it in the call today, oil markets still look quite healthy with high occupancy and good rate development, although the upside there is relatively limited because the rates are already quite healthy. And that's at the main hub locations, Singapore, Pengerang, Fujairah and Rotterdam. Fuel distribution looks quite healthy with the exception of Mexico, which we highlighted. And I think on the chemical side, as we said, it's a bit of a mixed situation with some pressure in Asia, Southeast Asia and to a lesser extent maybe China in terms of impact. But a very positive development in Deer Park in the US and a bit of recovery seeing – that's obviously in Europe, in Belgium specifically. So I think that's what we are putting together and making sure that we guide the market in a proper manner for 2025 when the time is there. I hope you appreciate that.
Thijs Berkelder: Give us a bit of flavor on what we can expect on that Capital Markets Day in terms of, hey, this year, you went for a €300 million buyback announcement that I think that was announced already at the full year results. So, leverage is still below your target range. So what keeps you from announcing a further buyback? Is there any special maybe new M&As somewhere in the pipeline? Last year, we saw Antwerp, EemsEnergy, et cetera, are there any other potential announcements to be expected there?
Dick Richelle: Yeah, I think the way we look at Capital Markets Day, Thijs, for 2025, it's almost three years after the one that we did in 2022, when we set the strategic priorities of improved growth, accelerate with the OCR target, with the portfolio refocusing and with the target on growth and accelerate to €1 billion, €1 billion. And we feel that this is a very natural moment in the beginning of 2025 to give an overview and an update on how we look at the next cycle of, let's say, three years on improve, grow and accelerate. How are we going to allocate the different buckets for industrial and gas? What's the latest update and view on how we want to develop our accelerate bucket further? And we will make sure that all the questions that you come with, including also our view on share buyback in the future is something that clearly will be on the agenda as well of the Capital Markets Day.
Operator: That was our last question. This concludes today's call. Thank you for your participation. You may now disconnect.
Dick Richelle: Thank you very much. Have a good day, everyone.